Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to Compass Minerals' First Quarter Fiscal 2026 Earnings Call. [Operator Instructions] I would now like to turn the call over to Brent Collins, VP, Treasurer & Investor Relations. Please go ahead.
Brent Collins: Thank you, operator. Good morning, and welcome to the Compass Minerals' Fiscal First Quarter 2026 Earnings Conference Call. Today, we will discuss our most recent quarterly results. We will begin with prepared remarks from our President and CEO, Edward Dowling; and our CFO, Peter Fjellman. Joining in for the question-and-answer portion of the call will be Ben Nichols, our Chief Commercial Officer; and our Chief Operations Officer, Pat Merrin. Before we get started, I'll remind everyone that the remarks we make today reflect financial and operational outlooks as of today's date, February 5, 2026. These outlooks entail assumptions and expectations that involve risks and uncertainties that could cause the company's actual results to differ materially. A discussion of these risks can be found in our SEC filings located online at investors.compassminerals.com. Our remarks today also include certain non-GAAP financial measures. You can find reconciliations of these items in our earnings release or in our presentation, both of which are available online. I'll now turn the call over to Ed.
Edward Dowling: Thank you, Brent. Compass Minerals had a strong start to the year. For the first time since 2023, we're reporting positive quarterly net income. For the first quarter of 2026, reported net income of $0.43 compared with a net loss of $0.57 a year ago. Adjusted EBITDA doubled to $65 million. We took leverage down year-on-year by nearly 2 turns to 3.6x, and we raised the midpoint of our full year adjusted EBITDA guidance range to $224 million based on solid results in the Salt business and positive momentum in the Plant Nutrition, partly offset by the planned sale of our Wynyard SOP operation. Absent the Wynyard sale, the midpoint of our revised guidance would have been up about 4%. Let me begin today where we are in the Salt business. There's been steady winter weather this year across many of our North American markets we serve, excluding the Western part of the U.S. Year-over-year, Compass Minerals saw sizable increases in sales volumes. We also benefited from price increases in both highway deicing and C&I parts of the business. With a strong start to the winter, short-term market for the entire salt industry is really tight. Compass Minerals continues to focus on efficient and safe delivery of every ton of salt possible, understanding the critical role that we and others in the industry play in the communities we serve. In any given season, our ability to service excess market demand in season can be limited by the compressed timing of regional winter weather and any associated demand surge. We forward deploy salt throughout the year across our depot network as there is meaningful lead time across our production and supply chain to reach many of the regions we serve, particularly mid-season. For reasons I'll discuss more in a moment, our ability to meet excessive demand if it materialize in this specific season was always going to be limited. We do not plan our business assuming that we will have above-average winters, and we've been very clear about our commitment to managing inventories, maintaining financial discipline and focusing on value over volume. I'll make a few comments on the changes to our outlook in the Salt segment as we recognize that they may not be intuitive to the midst of a strong winter. What I want to make clear upfront is that our guidance does not represent "a new normal for this kind of winter." Our plans for the business are expected to allow for more flexible operations in the future, and we have more work to do to get there. I'd first reiterate why we put our back-to-basic strategy in place beginning in '24. The company's prior approach was to operate so that never missed the big winner. I won't bore you this morning with the details of how that ended, but suffice to say that it directly led to excess inventory over multiple years, a stressed balance sheet with all the adverse impacts on market value we expect it to bring. We're committed not to repeat the mistakes of the past. We made the right decision to align the business more closely with anticipated market demand and have managed inventories accordingly. Over time as the balance sheet continues to improve and market dynamics adjust to historical norms, the optionality within our inventory management strategy will evolve. We've been very open that our inventory management plan could preclude our ability to meet excessive demand in fiscal 2026. Our inventory production planning are informed by 3 factors: the first 2 I just discussed. First, the customer level commitments and our desire to keep inventory levels closely aligned to market demand; and second, effective placement of salt inventories via our salt supply chain. Third factor is production reach and capabilities at the mines, which I'll now comment to. Goderich mine is in a period of high development. The mine is currently developing a number of new mining panels, which require the construction of new underground infrastructure and ground support. New development panels inherently have higher costs and lower production rates than panels that are in full production. This is not a new issue and was incorporated in our initial guidance for the year. The development sequence is important as it governs our ability to produce at the higher end of historic production levels. Advancing these development panels will improve the optionality and flexibility within the production plan at Goderich mine. But in the near term, the mine's ability to produce at the higher end of the historical rates will be limited. Within this context, the production ramp-up at Goderich mine in mid-fiscal 2025 later than anticipated due to uncertainties around the applicability of the USMCA and subsequent hiring and qualifying our miners. Currently, Goderich is producing significantly higher rates year-on-year, and we're generally pleased with the direction of travel regarding our production level. That being said, we have some more work to mitigate greater than anticipated unplanned downtime as well as to further improve operating efficiencies. These factors are somewhat limiting in our ability to service incremental in-season demand, creating headwinds for production cost per ton, working our way through these issues, including improvements to preventive maintenance and overhaul programs to name a few. Despite these challenges, we still have a solid quarter in salt. Moving over to Plant Nutrition business. We continue to see momentum in our story. Over the last year or so, we've talked a lot about improving the performance of the business, which is largely premised on restoring the health of the pond complex at Ogden. This is succeeding. As the pond complex continues to improve, the quality of the feedstock that goes into Ogden also improves, provides benefits on how the plant operates, drive cost down. We continue to make progress on this initiative, and we've seen product costs trend down. On the pricing front, our team has done a good job for maintaining market value of our SOP portfolio. We're seeing a $20 improvement in price compared to our expectation. The decrease in anticipated sales volume relates to us prioritizing having SOP available to pursue additional domestic business over lower-margin export opportunities. We announced in our press release yesterday that we have entered into an agreement to sell our Wynyard SOP operation in Canada for $30.8 million, subject to customary closing conditions. Considering the improvements we're seeing in our Ogden operation, coupled with our read on future market conditions, we believe now is an opportune time to pursue this transaction, allowing us to further focus our efforts on North American leading producer of SOP. Improvements that we're seeing at Ogden are allowing us to increase our adjusted EBITDA guidance for the Plant Nutrition business by 8% in a midpoint of $37 million, despite the sale of the Wynyard operation. We've talked before about the importance of returning this business to a level where it consistently carries a $40 million EBITDA handle. Absence of Wynyard sale, we would have grinded to this value in this quarter. We think that we have line of sight to getting there in the coming quarters without Wynyard. Next phase of improvement involves capital project to upgrade the dryer compaction plant at Ogden, which we expect to boost operational efficiency and financial performance. As we look to the remainder of the year, we are focused on people, processes and systems and focused on executing our back-to-basics framework. This approach is anchored in 5 core priorities: improving operational efficiencies and capabilities to enhance performance and reliability across the organization; reducing capital intensive by deploying resources in a disciplined manner; simplifying processes and eliminating unnecessary complexity to accelerate decision-making and improve accountability; maximize cash flow generation to support long-term value creation; and reducing leverage to reinforce financial resiliency and provide capital allocation flexibility. The balance sheet and financial health of the company continue to improve. So I mentioned at the beginning of my remarks, our leverage ratio has improved significantly over the last year. We've grown confidence in continuing improvement in our leverage profile. We plan to begin conversations with the Board about approaches around capital allocation. This is all consistent with the progression of our back-to-basics framework. As the first quarter results demonstrate, we are clearly making positive strides in improving our operational, commercial and financial performance. Some of these improvements are visible now, such as the strong results we're seeing in Plant Nutrition business, and the continuing improvement in our leverage profile. Some, as fully optimized production in our Salt mines, will take more time to fully manifest themselves. We're committed to becoming a top-tier operator, grounded in financial strength and operational excellence. As a leadership team, we're focused on building a company with resiliency and flexibility to thrive over the long term. Our responsibility is to deliver consistency against our back-to-basics framework. Journey isn't finished, but progress is unmistakable. We're moving confidently towards the organization we know we can be. With that, I'll turn the call over to Peter for a review of our first quarter results.
Peter Fjellman: Thanks, Ed. I'll begin by discussing our quarterly financial performance. As Ed noted earlier, this quarter marked the first time in several years that the company has reported quarterly net income and adjusted EBITDA more than doubled from the year before. In the Salt segment, operating earnings improved year-over-year to $14.33 per ton, up $2.54 or 22% and adjusted EBITDA per ton increased 2% to $19.61. Total salt volumes were up 37% compared to the prior year period. Highway deicing volumes increased 43% year-over-year, while C&I volumes increased 14% over the same period. A higher proportion of highway deicing sales volume in the current period resulted in overall Salt segment pricing being relatively flat year-over-year, despite realizing higher highway deicing and C&I sales prices of 6% and 2%, respectively, year-over-year. Salt segment revenue in the first quarter was $332 million compared to $242 million a year ago. Product cost per ton declined 7% to $50.20, while distribution cost per ton increased 6%. SG&A attributable to the Salt segment improved by $1 million. Moving on to the Plant Nutrition segment, where we had a very positive business performance that is resulting in strong financial results. Year-over-year, operating earnings increased approximately $9 million, while adjusted EBITDA improved by $8 million. This was driven by improvements in both pricing and cost structure, despite the anticipated decrease in sales tons we saw year-over-year. In addition, the average SOP sales price was up 13% to $687 per ton. Product cost per ton declined 2% to $520, while distribution cost per ton increased 2% to $93. Corporate overhead year-over-year was down 24% to $19 million for the quarter and is a reflection of the momentum in our multiyear cost control and continuous improvement initiatives focusing on back-to-basic process optimization and system utilization. Moving on to the balance sheet. The previously announced settlement related to Ontario mining tax dispute resulted in some meaningful changes on the balance sheet at the end of December. The increase in other current assets and the decrease in other noncurrent assets and other noncurrent liabilities are a result of that settlement. Those movements also impacted changes in working capital in the statement of cash flows. With respect to the company's financial position, at quarter end, we had liquidity of $342 million, comprised of $47 million of cash and revolver capacity of around $295 million. Ed mentioned our focus of delevering, and we continue to make good progress there. The ratio of total net debt to trailing 12-month adjusted EBITDA at the end of the quarter was 3.6x. It's Down from 5.3x from the comparable prior period. Looking ahead, I'll now make a few comments on the updated guidance for 2026. The range for Salt segment adjusted EBITDA in 2026 is now $230 million to $252 million. Ed previously commented on the operational dynamics within the Salt segment. Our guidance reflects an increase in expected sales tons, the benefit of which is being muted by headwinds and production costs mentioned earlier. Additionally, severe winters tend to put pressure on distribution costs as surges in network demand create suboptimal logistical conditions. It's important to note that notwithstanding these factors, adjusted EBITDA margin is expected to increase by approximately 200 basis points year-over-year. For the Plant Nutrition segment, the range for adjusted EBITDA in 2026 is now up to $34 million to $39 million on stronger margins and an improved cost structure, partially offset by lower expected sales volume and the impact of the Wynyard sale. At the midpoint of the guidance, we expect a more than 300 basis point improvement in adjusted EBITDA margin year-over-year. The guidance range for adjusted EBITDA related to corporate overhead is unchanged as is the range for our capital expenditures. As a result of these changes, the range for guidance for total company adjusted EBITDA for 2026 is up to $208 million to $240 million or a 2% increase at the midpoint. I'll now turn the call over for questions.
Operator: [Operator Instructions] Your first question comes from the line of Evan McCall with BMO Capital Markets.
Evan McCall: It's Evan on for Joel Jackson. Just wondering about the salt market and if the market is well supplied for the strong winter? Or are we seeing a rush for any imports? And is there a larger spot market than normal? And does Compass have any excess tons to sell into it?
Edward Dowling: This is Ed. As we said in our release and our just completed call that the market is very tight as a result of winter so far. When we do our planning, there's a variety of things that we consider in terms of our -- how we manage that, which could include some imports from time to time. Ben, do you want to pick that up?
Ben Nichols: Yes. Evan, I think the market is exactly what Ed said. It's become tight. Winter has certainly trended ahead in terms of a straight calendarization. So that's something that the market hasn't seen in quite a few seasons. The ability for imports and opportunistic supply to play a role mid-season is difficult just given the lead time of supply in transit. And so I think our anticipation is if the winter continues as it has up to date, the market will remain tight.
Evan McCall: If I could sneak one more in. How are the plans progressing for the new mill at Goderich? And also, when would you make a decision on this? And has the strong winter emboldened your decision to make the investment?
Edward Dowling: Well, there's really 3 projects associated with the new mill at Goderich mine. The first that we've been working on for some years is the -- what we call the East Mine Drive, where we connect the current mining areas directly driving access directly to the East to tie into existing infrastructure. The second -- and that's been going on for some period of time, some years. Second is what we call the [ 3B108 ] project, which is really connecting the shafts and the infrastructure itself to the East Maine Drive. That project is really just getting underway and it will take a little while to complete that, but that's moving ahead. In terms of the new mill itself, it's in engineering. We've got a project team coming together on that. We're currently in the value engineering stage of that, and we should have things that we can talk about here over the next quarters.
Operator: [Operator Instructions] Your next question comes from the line of David Silver with Freedom Capital Markets.
David Silver: I wanted to maybe start with a question about the Salt segment economics during the quarter and in particular, on the cost side. So if I was to kind of lay things out on a per ton basis, I guess, production costs and also shipping and handling or logistics were higher, I guess, than a year earlier despite the higher volume. And I think you did in your prepared remarks, Ed, I think you talked about the development panels and whatnot. But I was curious, I mean, what would be driving up the logistics costs, the shipping and handling such that it seemed to have kind of a meaningful impact on your per ton margins this quarter? Was there anything going unusual there? Or is that something that will improve, I guess, as we move through the balance of the winter?
Edward Dowling: Thanks, David. Appreciate that. Let me just say, as long as we're in the development sequence, which you measure in quarters, not years and start improving the production to development ratio in the mine, this is normal course things for mining. And the costs are always going to be a little bit higher just because of what we do to set up infrastructure, et cetera. But for the quarter itself, to answer your question directly, unit costs that were down about 6% in terms of production and distribution costs were up about 6%. I'll pass this over to Peter and Ben to see if they've got anything else they'd like to add.
Ben Nichols: David, I think as you look at the distribution cost, there's 2 factors in play. One are just some basic inflationary pressures on rates, which was clearly identified in our guidance. The other big thing that's occurring is because Q1 of this year was so robust compared to prior year, we're shipping salt across a much wider network to service the business. And so essentially, we're pushing salt and shipping it to further away destinations to meet the demand, which results in a little higher rates. So that's what you're seeing come together.
David Silver: And just to follow up on that briefly, but you don't have to scan news sources very long before you read about salt shortages in particular metropolitan areas, in December and January in particular. And I'm just wondering if that had an unusual kind of impact. In other words, were you forced -- did you find yourself without enough salt in the right locations? Or were you supporting maybe another supplier who was tapped out and maybe tapped into your supply or whatever in a pinch? Just anything unusual in the field that you would call out that might have impacted the margin profile this -- the per ton margin profile this quarter, but especially on the logistics side.
Edward Dowling: Ben just spoke a little bit to the logistics side and really the delivery from further places away. We take a lot of pride in meeting our obligations as a company in terms of serving our customer base. And we operate to meet the commitments that we've made, shortages, et cetera, and we have a lot of people who would be approaching us for more salt. I think the net result of that is we'll see how the rest of the winter shakes out. But looking forward, then kind of, let's just say, industry-wide, deicing inventories, which are low, is very constructive as we look forward and start planning for '26, '27 winter.
David Silver: Okay. If I could just ask a question, I guess, about tax rates, and I guess that would be both nominal and also cash tax as well. So during the quarter, you did have the unusual situation where your tax rate was, I guess, negative in the first quarter. And I know you've got kind of an evolving tax situation from the point of view of you should be solidly profitable this year. On a reported basis, a little bit different than the last couple of years. But can you just speak to kind of how you see your tax positioning evolving this year? I'm thinking about the valuation allowances, will you be able to claim some offsets, some profit with losses that maybe in the last couple of years you weren't able to do? And if you had an idea of what your cash tax situation looks like for full year 2026, that would be great.
Edward Dowling: David, I think in part, you're asking about the impact of the Ontario mining tax settlement that we met earlier this year. Recall, that's been something hanging around the company for decades. We're very pleased to get that behind us. And that, of course, had impact on some of the footnotes you'll see in the release. Let me pass it over to Peter to give you a bit more detail on that.
Peter Fjellman: Sure. And on that Ontario mining, you'll see it in both the balance sheet and cash flow and cash tax, which is where a lot of what you're referring to. As to the full year, obviously, we're still early in the year. We know that the swings in the effective tax rate, it's a function of income in Canada, losses in the U.S. and it's relatively a small number for tax purposes, right? And that's causing, obviously, lots of swing. We have to look at that post valuation allowance as well and then let that thing roll through. Still early in the season as to utilization and also looking at that valuation as well. So it's yet to be determined.
Operator: I will turn the call back over to Edward Dowling, CEO, for closing remarks.
Edward Dowling: Thank you, Kate. Thank you again for your interest in Compass Minerals. We're excited to see the advances that we're making under our back-to-basics framework. As I mentioned earlier, the company has had a solid quarter. We have positive momentum in a number of areas. We reported positive net income for the quarter, the first time in a long time. Quarterly adjusted EBITDA more than doubled. Total net trailing 12-month debt decreased by almost 2 turns. And lastly, we increased our guidance for the full year. The journey isn't finished, but we're making unmistakable progress of being the company we know we can be. Please don't hesitate to reach out to Brent if you have any follow-up questions. We look forward to speaking to you next quarter, if not before. Make it a safe day. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.